Operator: Good day, ladies and gentlemen, and welcome to the Q3 2010 Tutor Perini Corporation Earnings Conference Call. My name is Kendall and I’ll be your operator for today. (Operator instructions.) I would now like to turn the conference over to your host for today, Mr. Ken Burk, Executive Vice President and Chief Financial Officer. Please proceed.
Ken Burk: Good afternoon, everyone. Thank you for joining us for Tutor Perini’s Q3 2010 conference call. With us today is our Chairman and CEO Ronald Tutor and our President, Robert Band. Before we start I’d like to remind our listeners that our comments today will contain forward-looking statements including statements about future guidance. Management may also make additional forward-looking statements in response to your questions. These types of written and oral disclosures are made pursuant to the Safe Harbor provisions contained in the Private Security Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from anticipated results. The company cautions that any such forward-looking statements are based upon assumptions that the company believes are reasonable but that are subject to a wide range of risk and actual results may differ materially. These risks and uncertainties are disclosed in detail in our filings with the SEC including Tutor Perini’s annual report on Form 10K for the fiscal year ended December 31, 2009, our definitive proxy statement filed on April 28th, 2010, as well as in today’s news release. Our statements on this call are made as of today, November 4th, 2010, and the company undertakes no obligation to update any of these forward-looking statements contained in the call, whether as a result of new information, future events, changes in expectations or otherwise. With those formalities out of the way it’s my pleasure to turn the call over to Ronald Tutor.
Ronald Tutor: Thanks, Ken. Good afternoon, everyone. We ended the quarter with a backlog of $4 billion. Major awards during the quarter included a $300 million casino in New York, a $25 million power plant in California and a $23 million educational facility in Arizona. Currently we have approximately $1.1 billion in pending awards, consisting of $470 million in power projects, $220 million in hospitality and gaming, $218 million in transportation, $154 million in education, and $60 million in other end markets. These awards are expected to enter our backlog within the next few quarters. We are especially pleased with our Civil Group, whose profit contribution during the quarter has more than quadrupled from the Q3 of 2009. Our Civil Group is on track to achieve the margins that we expected. With three quarters of the year behind us we still look for our Civil Group to provide more than 40% of our operating income for the year. We estimate the prospective opportunities in our civil infrastructure target market to be $20 billion for the remainder of 2010 and 2011. The breakdown of that includes $7.7 billion in mass transit, $6.3 billion in bridges, $3.3 billion in highways, and $2.7 billion of other types of civil work including power, rail, and water. In the nonresidential building markets, we continue to see incremental improvement alongside the financial markets and broader economic recovery. For the building group we have identified and are tracking approximately $27 billion in targeted projects that we could bid in the following years of 2011 and ’12. More than $11 billion of these targeted projects are in the public sector, including corrections, education, municipal office, and transportation buildings – transportation buildings being airport terminals and the like. During the Q3 we continued to make good progress on existing work including Terminal 3 at McCarran Airport which is approximately 73% complete and on track for a completion ahead of schedule, as well as the JFK International Airport’s Bay Runway job, which should be concluded before December 1; and the Greenwich Corridor at the World Trade Center site where we have delivered all critical milestones ahead of schedule. Subsequent to the quarter we closed a $300 million senior unsecured notes offering. This additional capital enhances our ability to take advantage of growth opportunities for acquisitions that are available to us in the current market. We’ve already begun putting this capital to work. On November 1, we closed the acquisition of Superior Gunite, a California-based construction company specializing in pneumatically placed structural concrete, namely shotcrete or gunite. We believe Superior Gunite is a very strong strategic fit for our company in both the civil and building sectors, and enhances our vertical integration and self performance. Their markets are seismic rehabilitations of tunnels, bridges, and buildings. In addition, we have signed a letter of intent to acquire another contractor that will complement our civil and building operations. The purchase price is $105 million and we expect them to contribute at least $330 million in revenues next year. The closing for this transaction should occur by the end of December. Now I’d like Bob Band to share details of our management services group.
Robert Band: Thanks, Ron. In the Management Services Group we are continuing to focus on the long-term opportunities in Guam. We have started to see some of the larger proposal opportunities in Guam surface, however recent reports from the US Environmental Protection Agency and the US military indicate that progress may be slowed, stretching to 2017 and ’18 to consider upgrading the existing infrastructure, specifically waste water, drinking water, and the like. Given our current position on the island we anticipate winning new work associated with the infrastructure reinforcement in the near term. Proposal opportunities in Guam include task orders under the $4 billion maximum capacity and definite delivery, definite quantity design/build multiple award contract, and work under this contract will include wharf repairs and construction, aircraft parking aprons, taxiways, runways, and hangars, as well as general and special purpose buildings. In addition the Mamizu program is a Japanese government-funded construction program in Guam and it is expected to ultimately exceed $2 billion. We expect meaningful new work awards under these programs during 2011. Recent awards in the Management Services Group include $44 million in task orders from the Department of the Interior under an IDIQ contract and a contract to build a runway in Kosrae in the state of Micronesia with an estimated contract value of $33 million. Prospects for new work in Iraq and Afghanistan continue on a limited and very competitive basis. We are tracking projects and continuing to build for the US Department of State and Department of Defense in those locations. These projects include overhead cover, additional housing, and helicopter landing facilities in Iraq. We are also closely tracking the Haiti relief-related projects with various agencies including USAID, non-governmental agencies and the local government which are expected to be bid and awarded in 2011. We’ve had a representative in Haiti continuously since February, a month after the earthquake. For the Management Services Group we have identified in our tracking approximately $5.7 billion in targeted projects that we could bid over the next three or four quarters. These include new IDIQ projects worldwide for the US government and additional task order work under existing IDIQ contracts, and other projects with US multinational firms. Now Ken will give you the financial details for the quarter.
Ken Burk: Thank you, Bob. Our net income was $30.9 million for the Q3 of 2010, as compared to net income of $26.7 million for the Q3 of 2009. Diluted earnings per share were $0.65 for the Q3 of 2010, as compared to $0.54 for the Q3 of 2009. We ended the Q3 with a backlog of $4 billion which is down 6% from June 30th, 2010. The breakdown of business by business group of our backlog at September 30th is as follows: Building is $2.9 billion; Civil, $879 million, Management Services, $243 million. The backlog for the Building Group by end market type is as follows: municipal buildings, $886 million; healthcare, $855 million; hospitality and gaming, $506 million; transportation facilities, $332 million; education, $143 million; industrial, $64 million; and other building markets, $138 million. The Civil Group backlog breakdown is as follows: bridges, $316 million; mass transit, $292 million; highways, $244 million; and other civil work, $27 million. Management Services’ backlog is predominantly all government contracts. In the Q3 of 2010, revenues were $731.8 million, a 37% decrease from $1.2 billion reported in the Q3 a year ago. On a reportable base, segment basis revenues from our Building Group were $520.6 million, down 49% from $1 billion in the Q3 of 2009 as a result of the substantial completion of large hospitality and gaming work in 2009. Revenues from our Civil Group were $169.9 million, which increased by 134% from $72.6 million reported in the Q3 of ’09. The increase is primarily due to new work acquired in ’09 and ’10, such as the JFK runway, Greenwich Corridor at the World Trade Center site, and Caldecott Tunnel. Management services’ revenues were $41.3 million, which decreased by 47% from $78.4 million reported in the Q3 a year ago. The decrease is due to a substantial completion of a significant portion of our US military work in Iraq and the airport runway project we had in Guam. Our total gross profit increased 6% or $5.3 million to $90.7 million from $85.4 million I the Q3 of ’09. Most of this increase is due to a greater mix of higher margin public works projects during the quarter. G&A expenses were $40.7 million, a decrease of 5% or $2.2 million from $42.9 million in the Q3 of ’09. Our current overhead structure will support future growth in our business without significant incremental costs. We had income from construction operations of $50 million in the Q3 of ’10, an 18% increase compared to $42.5 million in the Q3 of 2009. Total operating margins were 6.8% for the Q3 compared to 3.6% for the same period a year ago. Breaking down income from construction operations by business group: Building income from construction operations for the quarter was $28.2 million, a decrease of $10.6 million, or 27% from $38.8 million in the Q3 of 2009. This decrease was primarily due to the reduced revenue I explained earlier offset by an increase in operating margins from a higher mix of public works projects during the quarter. Civil Group income from construction operations was $27.3 million in the Q3 of ’10, a 333% increase from $6.3 million in the Q3 of ’09. This was primarily due to the increase in revenues previously noted and favorable operating performance. Management Services’ income from construction operations was $2.9 million in the Q3 of 2010, a decrease of 66% from $80.5 million in the Q3 of ’09. This decrease is due to the decrease in revenues discussed above and earlier, and profit increases that we recorded in the previous year. Looking at our balance sheet, at September 30th, 2010, our working capital was $351.2 million, up from $303.1 million at December 31, ’09. As of September 30th, our current ratio was 1.3:1 as compared to 1.23:1 as of December 31, 2009. As of September 30th, 2010, we had $213.1 million in cash and cash equivalents compared to $348.3 million at the beginning of the year. The decrease in our cash balance during 2010 is primarily due to timing of receivables collections from city centers; $39.4 million of cash used to repurchase 2.2 million shares of our common stock; $23.5 million of restricted cash used to secure insurance related obligations in lieu of placing more expensive letters of credit; and $20.1 million of cash we used to reduce our debt. Subsequent to the Q3 end we have not repurchased any additional shares. Cash flow use by operating activity during the first nine months of 2010 was $35.9 million. The use of cash was primarily due to the timing of the receivable collections I mentioned earlier offset by an increase in the volume of work and operating cash flow for the Civil Group. At September 30th, long-term debt stood at $69.4 million excluding the current portion, and we had $304.6 million available to borrow under our credit facilities. On October 20th, 2010, we completed a private placement offering of $300 million of eight-year, 7 5/8% senior unsecured notes, which were priced at 99.258% of par, resulting in a yield to maturity of 7.75%. On October 25th, 2010, our Board of Directors declared a special cash dividend of $1 per share of common stock which is payable on November 12th. Stock holders’ equity remain consistent at $1.3 billion at both September 30th and December 31, 2009, as the addition to stockholder’s equity from our net income was partially offset by a reduction in our equity resulting from the repurchase of our common stock. We believe that our current financial position and credit arrangements provide us with significant capital resources to meet both our working capital requirements for executing existing and new projects, and our acquisitions that we’ve looked at on the horizon. Guidance for earnings per share is estimated to be within the range previously provided of $2.00 to $2.20 per share. We are lowering our revenue guidance from an estimated range of $3.4 billion to $3.9 billion, to an estimated range of $3.1 billion to $3.3 billion. The ranges reflect our current view of work in process and new work prospects that could contribute to revenues and profits this year. Due to a number of project opportunities and acquisitions that are developing, we have decided to provide guidance for our 2011 year during our Q4 conference call, which will be held in early March, 2011. That concludes our prepared remarks. Ron Tutor, Bob Band and I will now take your questions.
Operator: (Operator instructions.) Your first question comes from the line of Brandon Verblow with UBS. 
Steve Fisher - UBS: Hi, it’s Steve Fisher. Good afternoon.
Ken Burk: Hi, Steve.
Steve Fisher - UBS: Just a couple of questions on the acquisitions. I wonder if you can talk about whether the intention is to have these be accretive on a GAAP basis in the first year. 
Robert Band: The answer is yes.
Steve Fisher - UBS: Okay. And can you just comment at all on the margin structure on those deals relative to your current reporting segment?
Robert Band: They would be similar to our Civil margins, where we believe they would report in the net pretax of between 7% and 10%. 
Steve Fisher - UBS: Okay, that’s helpful. And then I’m just wondering if you can talk a little bit about sort of a risk management as it relates to projects in the civil sector. We’re just wondering if you have a different risk management approach and tolerance as it relates to tunnel projects, relative to other types of civil work.
Ronald Tutor: Well, this is Ron Tutor speaking. I think Caldecott is our eighth tunnel at Tutor-Saliba. And the margins we get today in our tunnel business are so significantly greater than we got in the ‘80s and ‘90s, we feel that we’re bidding tunnels at safe productions and significant margins to where we don’t believe we will bid tunnels where there’s any chance of loss. Our margin could be reduced by issues on the job site, but if we believe there’s any opportunity for significant change or risk we just simply don’t bid them.
Steve Fisher - UBS: Okay. And then a question for Bob. I was wondering if you could just talk a little bit more about the timing on the Mamizu awards?
Robert Band: Well, I think let’s talk in general on the program. The record of decision was filed. I think the EPA’s working hand in hand with the military. Their concern initially was from the sharp and anticipated increase in workforce on the waste water and drinking water capacity on the island. The military’s agreed hand in hand to use control over the workflow or the flow of forces coming in, as well as adaptive program management on timing of the work. So I think basically that we’re looking where before we thought the work would go through 2015, it’ll probably stretch a little longer and go through ’17 and ’18. And that’s about it. As far as specific awards in the Mamizu program, I don’t have any information on that. Do you, Ron?
Ronald Tutor: The Mamizu program, we have- The pre-qual goes in in December. There are two C-projects that also go in in December, one that exceeds $200 million and the one that’s approximately $50 million. As preparatory to the Mamizu project, we have currently a $200 million site development proposal in and a $100 million runway proposal awaiting decisions. So the work has in fact started and we believe that in 2011 it’ll begin to gear up. Everything I’ve read says it’ll peak in ’13 and ’14 with the significant awards in the range of $1 billion a year and more beginning to take place.
Steve Fisher - UBS: Okay, great. And then just the last question maybe for Ken: the 5.4% Building margin, do you think there’s upside to that or has that in your term peaked?
Ken Burk: Well, I think we’re leveling out. We’ve experienced through the public works side of the Building a very nice contribution, so I think, which is heavily contributed through McCarran. So it’s going to level out from this point.
Steve Fisher - UBS: Okay. Thanks a lot.
Operator: Your next question comes from the line of Richard Paget with Morgan Joseph. Please proceed.
Richard Paget - Morgan Joseph: Good afternoon, everyone. 
Ken Burk: Hi, Richard.
Richard Paget - Morgan Joseph: I wonder if we can talk a little bit more about Guam. You mentioned that the bids that you’ve seen so far are pretty competitive. In your opinion, I mean you guys are the incumbent there and pretty much know the cost structure. Do you get the sense that some of the bids coming in might be related to people not necessarily knowing the local area and there might be I guess some prematurely low bids coming in in the beginning of this whole process?
Ronald Tutor: Well, that’s possible. It’s hard to conjecture. Many of our competitors have not worked there or understand the difficulties, but since they’ve awarded the hospital and the pier job they’ll understand them now. And in the final analysis this is seven or eight years and $10 billion to $14 billion. There is no question that with our position on the island, our workforce, and what we’ve done there for 50 years, we will play a dominant role – whether it’s in the first six months or the next 18 months. We’ll achieve our work and people will learn, whether it’s the easy way or the hard way, what it costs to do business there.
Richard Paget - Morgan Joseph: Okay. And then you mentioned some contracts in Iraq but you didn’t talk much about Afghanistan, and I know some of your competitors have been saying the situation over there continues to be slow. The risk in terms of the contracts that are going out are kind of outside the wire. I wonder what you guys are seeing over there.
Robert Band: Well. we have an outstanding proposal to USAID, significant proposal for work in Afghanistan and it does include work outside the wire. So you know, everybody is focused on the status of using contractors for security over there, but in general I’d say that significant work will continue in Afghanistan. In addition, USAID has a worldwide project that we’ve submitted our costs for containerized housing could be used all over the world; it could be used in Haiti or Afghanistan. So I think there’s significant opportunity that remains. Again, the pricing has to reflect the risk.
Richard Paget - Morgan Joseph: Okay, and then finally, Ken, you kind of talked a little bit about the new expectations for lower revenues for the balance of the year, and it was a combination of work in hand as well as prospects that you might get in the Q4. Which kind of weighted more – was it existing backlog that might be moving a little bit slower or was it the bid process that was the main delta there?
Ken Burk: Well, it’s really just timing related, Richard. I mean it’s not related to existing work because we have very little surprises in terms of schedule and where we are, so I would say that it’s all timing related to new business.
Richard Paget - Morgan Joseph: Alright, thanks. I’ll get back in queue.
Operator: (Operator instructions.) We have a question from the line of Avi Fisher with BMO Capital Markets. Please proceed.
Avi Fisher – BMO Capital Markets: Hi, good afternoon, gentlemen.
Ken Burk: Hey, Avi.
Avi Fisher – BMO Capital Markets: I have a handful of questions here. First of all, there’s a power project you announced. What was it, $470 million?
Ronald Tutor: Yeah, that’s in the category of pending awards.
Avi Fisher – BMO Capital Markets: In pending awards. Are you bidding projects again with OMG? Is this a JV-
Ronald Tutor: No, that’s a sole Tutor Perini project.
Avi Fisher – BMO Capital Markets: Okay. And what’s, I mean you’ve been in the power market before substantially, you haven’t been in it in awhile. What’s driving you back into it and how should we think about the dynamics of that market relative to the-
Ronald Tutor: It’s a major market. There are opportunities all over the country. They’re jobs of substance. They’re not what we would call particularly difficult. They require large companies like ourselves with an expertise that fits into our civil, mechanical, and electrical capacities. It’s really an ideal market for us to go back into on a large scale. The margins are good. We think we managed the risks in such a way – the risk is much presentation as it is construction. So we think it’s a good market for us. We think we’ll be in it on a large scale and continue to explore it on a national basis.
Avi Fisher – BMO Capital Markets: What’s your target? Is it natural gas, coal? And if you could talk about the fuels and the sizes that you’re targeting.
Ronald Tutor: It really doesn’t matter to us; it still goes back to the generation of power regardless of where it stems from. It’s all delivering that to sizeable equipment that we know and we set in a civil atmosphere. It really doesn’t matter whether it’s fossil fuel, coal, natural gas – it really is in fact different.
Avi Fisher – BMO Capital Markets: Is there any solar or wind in these pending orders?
Ronald Tutor: No, but there is solar. We have really not done anything in wind, but we, as you may recall we’re building the Solyndra solar manufacturing facility, and that capacity here in the US, we’re hoping that solar panel power will begin to go, at which point we’ll commence to bid that.
Avi Fisher – BMO Capital Markets: Gotcha.
Ronald Tutor: And that’s all electrical driven, which fits with our strategy of having electrical capacity.
Avi Fisher – BMO Capital Markets: Okay. And then just a few quick other questions. This acquisition you’re making, Superior Gunite – will you use them to replace Johnson on the Caldecott tunnel?
Ronald Tutor: No. They own Johnson Western; they’re one in the same. In fact, whatever margins they had working for us as a sub we’ll now absorb.
Avi Fisher – BMO Capital Markets: So this is a similar, I mean obviously it’s a different company but a similar situation as buying was it Desert Plumbing, where you captured more of the margin of your subs?
Ronald Tutor: Yes, very much so. And this is also very strategic because in the shotcrete and gunite business, they are three times the size nationally of any of their peers and such a leader in that industry, that we can utilize them for not only shotcrete in our tunnels but as I said earlier in the structural rehab of buildings and in structural civil rehab. So to us, although they may not be as large as maybe we would like, they’re very strategic in their technical application to all our various types of work. So we’re excited about them. They really have no peers in the structural shotcrete or gunite business in the US.
Avi Fisher – BMO Capital Markets: Does that mean, is there an opportunity for you where they can be a sub on other competitors’ bids? I mean not where you’re bidding but-
Ronald Tutor: They’ll still sell their services just like both Desert Plumbing and Powerco Electric does because they’re so dominant in their industry and they have a lot of very positive relationships other than us. They’ve been doing this for fifty years in California, so my guess is they will continue on with all their customers who are in effect our competitors, but who will also do more and more work for us as we drag them all over the country in our other opportunities. 
Avi Fisher – BMO Capital Markets: Gotcha. In terms of guidance you’re maintaining your 2010 guidance. It implies a weak sequential Q4. Is that a function of seasonality? Is it being conservative? Is there something else going on?
Ronald Tutor: No, there’s nothing more going on beyond what I explained to Richard earlier. So there’s no seasonality impact there.
Avi Fisher – BMO Capital Markets: Okay, I’ll check in on the seconds. I apologize, my call was slightly interrupted for a bit. In terms of the projects you’re working on, I don’t know what the technical term is but from my view they tend to be very young whereas you’re 10% complete, less than 10% complete on the Caldecott, you’ve had some scope out on Greenwich which has changed the scope profile there; Antlers is still less than I think 10% complete. As these projects mature, does the margin profile change at all?
Ronald Tutor: Well for one, you talk about Greenwich – Greenwich is about 80%, 85% complete as JFK is 95% complete. They’re done and predictable and there’s not going to be any surprises. And our margins on those projects, as low as we were – which I’m sure you recall, you pointed it out to me at the time – those margins were significantly enhanced during the course of the work. I’d say across the board on both we added at least 50% again to the original margin. You’re right about Antlers and Caldecott – it’s too early to be predictable other than we are in about 15% into the tunnels at Caldecott, probably within three to six months we’ll have a reasonable understanding of margin on Caldecott. Otherwise it’s a job that is currently going as planned with a significant margin and hopefully we’ll bring it home.
Avi Fisher – BMO Capital Markets: Gotcha. And then one final question: you have the debt offering, you had the dividend. I’m curious as to your thinking of why you did the debt issuance and why you did the dividend.
Ronald Tutor: We did the dividend because for the last five years our shareholders, not including me, had been hitting us for dividends because we’re so cash rich. And on top of the bond issue, which we floated primarily to support some significant acquisitions we have in mind, it just became apparent with other issues that it was time to address the dividends to our shareholders and we did with what we thought was a relatively conservative approach of $1.
Avi Fisher – BMO Capital Markets: Gotcha. And then regarding the bonding, there was a time maybe a year and a half ago where I think you were the guarantor on some surety. Has that been completed?
Ronald Tutor: The only thing I was a guarantor on was the $1.2 billion Terminal 3 at McCarran, and frankly that was because the sureties wanted some support and I gave it to them. And I haven’t done it since nor is it necessary or could I expect that it would ever happen again. 
Robert Band: If you recall that was required because it was literally in between the time we announced the merger with Tutor-Saliba and the time we were closing, so that was in-
Ronald Tutor: That’s right, it was in that transition.
Robert Band: Right in between. Otherwise it would have never happened.
Avi Fisher – BMO Capital Markets: And there’s no expectation you’ll need to do that again.
Ronald Tutor: No, no.
Avi Fisher – BMO Capital Markets: Thanks, this helps. Thanks for the color.
Operator: Your next question comes from the line of John Rogers with DA Davidson. Please proceed.
John Rogers – DA Davidson: Hi, good afternoon.
Ronald Tutor: Hi, John.
John Rogers – DA Davidson: Just in terms of the acquisitions again, the one that you’ve signed the letter of intent for that you haven’t announced with $300 million in revenue at $105 million, how does that compare to Superior Gunite just in terms of revenue and price? Can you give us a sense of that? I’m curious how much of the $300 million is left.
Ronald Tutor: Well, you’ll figure it out. One is $105 million, the other’s $33 million. I’m sure you can do the math. We told you what Superior does.
John Rogers – DA Davidson: Yeah, okay. I’m more curious of how much more you expect to invest in acquisitions.
Ronald Tutor: Significantly more.
John Rogers – DA Davidson: Okay. And in terms of the civil opportunities that are out there, you’ve got another big tunnel project I know that you’re pursuing out there. What else in terms of large projects do you see? I mean are you tending to see even larger ones now?
Ronald Tutor: We’re seeing so many large projects we’re overwhelmed. We’re trying to put together our final team on the Goethals Bridge in New York. It exceeds $1 billion. We have a team together in Ft. Lauderdale for bridges and a new runway – that’s almost to $800 million. We’re putting a team together for the Gerald Desmond Bridge in Long Beach – that’s $800 million. It just goes on and on. We’re overwhelmed with very large projects.
John Rogers – DA Davidson: And Ron, are these going to be JVs or sole Tutor Perini.
Ronald Tutor: No, they’ll be JVs. Normally any civil job over $500 million, $600 million we joint venture. For example, we’re awaiting the results on the Seattle Tunnel. We think we have a very good opportunity. The job is well over $1 billion. There’s only two bidders – us and a Spanish company against another Spanish company and an Italian company. So there’s just a number of very large opportunities, and when the opportunities get that large there typically isn’t a lot of competition.
John Rogers – DA Davidson: Okay, and last thing, just as it relates to the lower Q4 numbers. And as I think about it, given you’ve the preponderance-
Ronald Tutor: Well Q4 we haven’t reported yet.
John Rogers – DA Davidson: No, I know – sorry, your guidance. Should we expect to see more seasonality in your business as Civil accounts for a larger portion of it?
Ronald Tutor: It’s possible. You know, there are certain parts of the country- We work through the winter typically in civil work but it does impact the amount of work we can accomplish. It will vary with the job but I think, let’s assume that the Civil business grows to be half of our annual revenue. There’s some part of that that will be impacted during the four months of distinct winter. We won’t stop but it’ll reduce revenue, and if you reduce revenue knowing our margins in Civil, it defers profit. But I think we’ll always take that in in our prediction.
John Rogers – DA Davidson: Okay. And just last thing, in terms of your negotiations, relations with MGM, anything new there in terms of the timing update?
Ronald Tutor: Absolutely! The progress is just delightful. They have now paid out more than $170 million to our subcontractors and continue to settle every day, and if anybody from MGM is listening to the call keep up the good work! I’ll be waiting at the end of the rainbow.
John Rogers – DA Davidson: Okay. And sorry, what’s your receivable now from MGM?
Ronald Tutor: Ken is waving me off.
Ken Burk:
 :
John Rogers – DA Davidson: Okay.
Ken Burk: So it’s down from where we were at originally - $491 million. 
John Rogers – DA Davidson: Yeah, okay. Thank you very much.
Ronald Tutor: Not at all.
Operator: Your next question comes from the line of Kalpesh Patel with Jeffries & Company. Please proceed. 
Ronald Tutor: Hello?
Operator: Kalpesh, your line is open.
Ken Burk: Kal, you on the line?
Kalpesh Patel – Jeffries & Company: Can you hear me?
Ronald Tutor: Yeah, we can hear you, Kal.
Kalpesh Patel – Jeffries & Company: Okay, sorry about that. The end of the rainbow, huh Ron? That’s pretty funny.
Ronald Tutor: I will be waiting.
Kalpesh Patel – Jeffries & Company: Right. That was actually one of my questions that I was going to ask, what that number was up to. So you said $170 million of the subcontractors have already been paid?
Ken Burk: Yeah.
Kalpesh Patel – Jeffries & Company: Gotcha.
Ronald Tutor: And they’re continuing negotiating feverishly every day that we’ve seen.
Kalpesh Patel – Jeffries & Company: Gotcha. I wanted to clarify, you guys talked about some proposals that you have outstanding in Guam. Did you say a $200 million site proposal and a $100 million runway proposal? 
Ronald Tutor: Yeah, that’s correct.
Kalpesh Patel – Jeffries & Company: Were those the only two?
Ken Burk: That’s correct.
Kalpesh Patel – Jeffries & Company: Those are the only two you have right now.
Ronald Tutor: Those are the only two, and we’re preparing two more sizeable ones for delivery in December.
Kalpesh Patel – Jeffries & Company: And that’s in the Mamizu proposal, and you said that’s $200 million and $50 million, right?
Ken Burk: Yes.
Kalpesh Patel – Jeffries & Company: Okay, I just wanted to get those numbers right. And also with some other projects in US Civil, you said a New York bridge for $1 billion, Ft. Lauderdale runway for $800 million?
Ken Burk: That’s correct.
Kalpesh Patel – Jeffries & Company: And then what was the third one?
Ronald Tutor: Gerald Desmond Bridge in Long Beach. That was $800 million.
Kalpesh Patel – Jeffries & Company: Okay. Okay. Have you notice, I mean I guess in the US has the bidding environment gotten more competitive at all?
Ronald Tutor: Not at all. In the larger work, as I continue to try to explain, there is no one that can compete more. We have foreign competitors that come in from Europe and we have a limited number of our US peers that are very good, but we’re all limited. So typically on a job over $500 million it will vary between one and two competitors. So maybe there’s three bidders, maybe there’s two bidders; as often as not there’s two bidders.
Kalpesh Patel – Jeffries & Company: Right, I just didn’t know if the bidders that you’re competing against were being more aggressive in their process. I guess that was my question, not the number of bidders.
Ronald Tutor: Common sense will tell you when there’s very limited competition it doesn’t make a lot of sense to get that competitive, not if profit is your primary motive.
Kalpesh Patel – Jeffries & Company: Okay, got you. And in terms of the acquisition that you concluded, you said that $33 million was the price that you paid for them, right?
Ken Burk: Correct.
Kalpesh Patel – Jeffries & Company: Okay. Just wanted to get that number right. That’s all the questions I had, thank you.
Ronald Tutor: Thanks, Kal.
Operator: Your next question comes from the line of Philip Volpicelli with Deutsche Bank. 
Philip Volpicelli – Deutsche Bank : Good afternoon.
Robert Band: Hey, Phil.
Philip Volpicelli – Deutsche Bank : When you guys discussed your $1 dividend, first of all you said that you may consider an annual dividend policy going forward. Can you give us a little more color on that? Do you plan to have an annual or quarterly dividend going forward?
Ronald Tutor: We’re not prepared to comment. It was a special dividend. We’ll take it up next year with our board.
Philip Volpicelli – Deutsche Bank : Okay. Can you give us an update on further acquisitions? You clearly now have some dry powder; you’ve closed the two you talked about at the road show. Are there any more that are in the near term and are they of the same size, or larger or smaller?
Ronald Tutor: We’re looking and having some preliminary discussions on a couple of potential acquisitions that are significantly larger than the $300 million revenue transaction, which of course will require significantly more capital but a much more dramatic and strategic –the only question will be is when and if we will be successful.
Philip Volpicelli – Deutsche Bank : Will that mean you’ll be drawing on your credit facility to close those or would you have-
Ronald Tutor: Well, we have (inaudible) capital. Remember, we have a substantial amount of cash in addition and there are other avenues. We think we’ve got enough dry powder remaining even after the $100 million acquisition closes in December to make two significant, over the next 18 months to make two very significant acquisitions considerably more sizeable than the $105 million we’re paying for the contractor based in Texas.
Philip Volpicelli – Deutsche Bank : Okay, great. And then just the depreciation and amortization for the quarter – I didn’t see that anywhere in the release.
Ken Burk: Depreciation and amortization for the quarter was $7.5 million and CAPEX was $7.6 million if you want to know that.
Philip Volpicelli – Deutsche Bank : Great. Thank you very much.
Operator: (Operator instructions.) And you have no further questions. I would now like to turn the call back over to Ken Burk for closing remarks.
Ken Burk: No further remarks to close with. Thank you all for joining us on the call today.